Operator: Good morning and welcome to the Goodyear’s third quarter 2009 financial results conference call. I would now like to turn the call over to Pat Stobb, Director of Investor Relations. Sir you may begin your conference.
Patrick Stobb: Thank you Ashley and good morning everyone. And welcome to Goodyear’s third quarter conference call. With me today are Bob Keegan, Chairman and CEO; Rich Kramer, Chief Operating Officer and President of North American Tire; Darren Wells, Executive Vice President and CFO; and Damon Audia, Senior Vice President Finance and Treasurer. Before we get started there are a few items I would like to cover. To begin, the webcast of this morning’s discussion and the supporting slide presentation can be found on our website at investor.goodyear.com. A replay of this call will be accessible later today. Replay instructions were included in our earnings release issued earlier this morning. The last item, we plan to file our 10-Q later today. If I could now direct your attention to the Safe Harbor statement on Slide 2 of the presentation. Our discussion this morning may contain forward-looking statements based on our current expectations and assumptions that are subject to risks and uncertainties that can cause actual results to differ materially. These risks and uncertainties are outlined in Goodyear’s filings with the SEC and in the news release we issued this morning. The company disclaims any intention or obligation to update or revise any forward-looking statements, whether as a result of new information, future events or otherwise. That finishes my comments. I will now turn the call over to Bob.
Robert J. Keegan: Well thanks Pat and good morning everyone, and thank you for joining us on the call this morning. On today’s call I’ll comment first on our solid third quarter performance and how our strategy has contributed. And Darren will then provide detail on the financials and our outlook. I’ll come back and provide a perspective on our confidence both in the attractive market opportunities available to us and in our strategy for capitalizing on them in 2010 and beyond. Darren, Rich, Damon and I will then take your questions. Before I begin an overview of the quarter, I wanted to reflect for a few moments on my recent experiences across the globe that I believe illustrate both the effectiveness and the speed of our new product engine. You are aware of our introduction earlier this year of uncompromising fuel efficiency technology into the market to quickly address changing consumer needs, a breakthrough made possible by our open innovation work with Sandia National Labs and our new product capabilities. In the third quarter we’ve seen continued strong sales performance from the Assurance Fuel Max Tire in North America and the Efficient Grip Tire in Europe. In August, I was at a new store opening of a Goodyear dealer in Mexico City, where they were already enthusiastically preparing to sell the Assurance Fuel Max just a few short months after the North American introduction. And in China, where I visited with dealers during a September trip, both to celebrate the 15th anniversary of our business there and to see Goodyear’s state of the art manufacturing plant being built at Pulandian. Our associates and our dealers were very excited about the planned Quarter 4 launch of the Efficient Grip and the July, 2010 launch of Fuel Max in China. So our industry leading new product engine is not only working, it’s delivering our latest technological achievements to our markets globally at an unprecedented pace. These are unfolding examples of how we will only get better at what for us is already a competitive advantage. You’ll recall that last quarter we talked about respectable and encouraging results despite difficult conditions. Today I am pleased to say that our operating results were again strong in Q3, reflecting first the success of our strategic actions that address top line, cost and cash initiatives; second, improving market conditions and third, lower raw material costs. The third quarter segment operating income of $275 million was in line with our operating plan for 2009 and greater than 2008, which I consider an excellent achievement for our businesses given the challenging economic environment and the resulting lower sales volumes. Additionally, our cash flow delivery was simply outstanding, reflecting working capital improvements in the quarter when seasonal sales typically drive cash usage. Highly effective execution of our plans to address the global economic downturn helped mitigate the recession’s impact. And in addition we took the opportunity to make structural improvements throughout our businesses that will be productively leveraged as our markets recover. Now as in past quarters, I’ll provide a performance update on the quarter for each of our three focus areas, top line, cost and cash. Begin with top line, we had significant sequential improvement in both revenue and units versus the second quarter, up 11% and 12.6% respectively in Q3 from Q2. In Asia Pacific, particularly in China where the economy is rebounding much faster than in the rest of the world, we established a record for any quarter with segment operating income up 36% from 2008 to $68 million. We continued our relentless push on innovative new products and have now introduced 57 new products globally in 2009 versus our global objective of more than 50. The outstanding acceptance of those new products as measured by consumer purchases continues to highlight the benefit of having the industry leading new product engine that has become the face of the new Goodyear. I mentioned earlier the broad global appeal of what we refer to as the Fuel Max Technology franchise, products that incorporate our fuel saving technology. This technology has already contributed to strong market share performance. Sales in North America of well over 1 million Fuel Max tires in seven months since launch are a record for a Goodyear high value added tire. Price mix continued to hold up well. Aligned with declining raw materials we achieved a net benefit of $193 million versus Q3 in 2008. Our image in the market continues to strengthen. Once again in Europe, Goodyear and Dunlap branded products achieved excellent results of the ultra important European winter tire test from two influential automobile magazines in Germany. Wal-Mart in the U.S. recently chose Goodyear’s new Viva Authority Tire with Fuel Max Technology to receive Wal-Mart’s first ever WOW Award. That’s WOW, W-O-W, for the best new product in the hard lines product category topping approximately 5,700 other suppliers. Also in the U.S., the Dunlap Direzza Sport Z1 finished first in a test of seven ultra high performance products conducted by Sports Car Magazine. And we were recently named by Newsweek Magazine as one of the “Greenest big companies in America,” with a focus on environmental impact, green policies and overall reputation as an environmentally conscientious company. Our cost actions in the third quarter included an innovative contract agreement with the United Steelworkers in North America. I know you’re all well aware of that. When we think about the breakthrough nature of this agreement, that in combination with the 2009 pre-bargain agreements will deliver $555 million in cost savings over the four year contract period, we recognize that the work that was done in 2003 and in 2006 negotiations set the foundation for a successful 2009 contract. During this negotiation, I would emphasize that we were innovative in our pre-bargain agreements to address the need for staffing flexibility to mirror uncertain market conditions at five U.S. plants. This of course included removing the protected status of our Union City, Tennessee plant. We were innovative in the contract by incorporating much needed added flexibility inside the four walls of our plants to improve productivity. We were innovative in how we transitioned from the groundbreaking [Vava] Trust in the 2006 agreement which was copied by many others to a defined contribution retirement plan for substantially all post-2006 new hires. And we were innovative in moving from a three year to a four year agreement, which provides sufficient time to fully realize all the potential financial benefits of the contract. We made substantial progress during Q3 on our four point cost savings plan to achieve $700 million gross savings in 2009 and $2.5 billion in gross savings over four years. We achieved $195 million in new savings during the third quarter for a total of $540 million in the first nine months of 2009. We closed our Philippines manufacturing plant on schedule this quarter and continued to focus on our plans for Amiens North in France to discontinue that plants production of consumer tires. With our continuing intense focus on cash, particularly on reducing inventory, we have further improved our cash and liquidity position. We were able to generate strong cash results in the third quarter as our supply chain initiatives have reduced inventory levels by more than $1 billion compared with the year end 2008 level. Our advantage supply chain continues here to be a game changer and let me elaborate. While we will build inventories back up over time to support increasing sales, it is certainly not our intent to return to the levels of inventory we had in 2008. Let me be clear. We believe that we can hold working capital roughly flat next year as our markets recover. Let me repeat that. We believe we can hold working capital roughly flat next year as our markets recover. We have learned a great deal through our supply chain work and I’ll provide another example. One of the benefits of this learning is that our lower inventory levels are allowing us to restructure our North American tire logistics network. We closed two warehouses in 2008 and year-to-date we have exited several public warehouses and allowed a large Canadian dealer to take over a leased facility. By the first quarter of 2010 we expect to have exited three additional facilities with another two targeted for exit in 2011. These activities will generate substantial benefits in working capital and in cash flow. While the global economic environment is improving, the magnitude and the pace of improvement varies significantly by region, by country and by segment. I’ll provide a brief overview of our industry by region. Asia’s clearly leading the recovery. We have the robust economy of China leading the way with now some positive signs of recovery beginning in Australia. North America and Latin America continue to stabilize economically. In North America we have pluses in the consumer business with miles driven increasing for three consecutive months. That’s miles driven increasing for three consecutive months through August. And retail sales and manufacturing utilization improving. However, the unemployment rate continues to hurt consumer confidence and suppress consumer purchases. The commercial truck tonnage decline appears to have bottomed out but remains far below 2008 levels. In Latin America, we are seeing record automobile sales in Brazil and an improving consumer replacement tire market. While Europe is still lagging economically, we are seeing some positive signs from a strong winter tire sell in, improving consumer confidence and the stabilization of what has been a very weak commercial truck market. Overall, the world’s economies are showing increasing signs of recovery but certainly not as fast, as strong or as consistently as we’d all like to see globally. Our company’s strategy has again proven to be very effective in 2009 through the third quarter and our performance provides us with a high level of confidence for the future. We have a market oriented business model that gives us a leg up on the competition by understanding what the market wants, and a new product engine that can deliver those products at unprecedented speeds to all our geographic markets. We’ve leveraged that market oriented business model in 2009 by launching a wave of new products. And our consumer tire launches focused on growing the mid tier segment with innovative features such as our Fuel Max Technology. We utilized an improving supply chain to deliver products to our network of dealers in the right place at the right time, allowing them to keep their inventories lower than previously required, thereby maximizing cash for both Goodyear and our customers. We are a leading innovator across our business system from the way we negotiate union agreements to the way we execute against our comprehensive four point cost savings plan to how we introduce new products. We instituted more aggressive cost and productivity initiatives globally. And as I said earlier we reached another breakthrough agreement with the United Steelworkers in North America. We aggressively cut production to reduce inventory and drive working capital improvements. Cash remains king at Goodyear. We accelerated our reduction of high cost manufacturing capacity globally, recently closing our plant in the Philippines. We took action in the capital markets to enhance our liquidity and balance sheet position as soon as the markets were accessible, completing $1 billion bond offering. Today our strong performance and our improving financial position reflect the success of these top line, cost and cash initiatives. And they further demonstrate the power of our strategies and the proven capabilities of our leadership team. I’ll now turn the call over to Darren who will provide more specifics on the company’s Q3 results and our perspective on Q4, and then I’ll provide our view of the opportunities in 2010 and beyond before we take your questions. Darren?
Darren R. Wells: Thanks Bob. I’ll start this morning with a few summary comments before moving on to address our operating results, the balance sheet and our outlook, including comments on the fourth quarter and 2010. In the past few quarters we’ve consistently been impacted by lowering industry volumes, increasing raw material costs and the double hit from production hits that reflected not only lower sales but also a need to reduce inventory. As Bob indicated in the results for Q3 we see a different picture. With markets recovering from where they stood earlier this year and with much of the work of reducing inventories now behind us, the third quarter also reflects the impact of lower raw material prices earlier this year finally being reflected in our earnings after the normal one to two quarter lag. We see this benefit continuing in Q4 and then expect raw material costs next year similar to full year 2009 levels if today’s prices continue. So overall we see positives in the quarter as again we see improvement in our year-over-year results. Looking at the income statement, sales were down approximately 15% from the prior year. This reflected weak industry demand, particularly in our commercial business, in other tire related businesses which included retail and chemicals, and also some adverse currency movement given the strengthening of the U.S. dollar versus a year ago. Margins, segment operating income and net income all increased versus prior year as cost cutting, sustained price mix and lower raw material costs more than offset the effect of weaker markets. SAG was down from a year ago, reflecting personnel reductions, lower advertising and the benefit of foreign exchange. Note that the third quarter after tax results in both periods were impacted by certain significant items. The appendix includes a summary of these items for this year and last year. Going into more detail on the increase in segment operating income, you see that we were able to hold price mix about flat despite significantly lower raw material costs, weak volume and despite the effect of mix. Let me clarify what we see going on in the forward impact of mix as its important to understand that despite strong performance by our new products, mix has been a clear challenge to our results in Q3 driven by several factors. First, the weaker commercial markets, which are recovering more slowly than the consumer tire markets; second, lower margin consumer [LE] business benefiting from government incentives; third, mix differences among geographies with some of our lower margin markets recovering more quickly; and fourth, significant strength in mid tier branded products, which while very attractive come at a lower price point than premium product lines. So while we continue to see customers trade up to our new high technology products, there’s some offsetting factors as we measure the overall impact of mix, both on our revenue per tire and our segment operating income. You also see that our four point cost savings plan generated savings of approximately $195 million in the quarter. As similar to the previous quarter, the plan provided significant net benefits to our cost structure as general inflation was minimal in the quarter. Lower raw material costs provided a year-over-year benefit of $207 million or about 16% compared to the 2008 quarter, consistent with the range we provided on the Q2 conference call. We expect the year-over-year benefit from raw material costs will continue in Q4 although the magnitude of the benefit has been reduced by the recent upward trend in commodity prices. Our unabsorbed fixed costs at $141 million has been presented both before and after the benefit of restructuring actions taken over the last year. This unabsorbed fixed costs in our factories reflects production levels similar to Q2 and about 4 million units below a year ago as we work to reduce inventory and drive working capital improvements. In Q3 we saw a higher per unit dollar amount per unabsorbed overhead than we’ve seen in the past. This is partly related to the mix of production between consumer and commercial tires. As you know it’s taken us longer to work down our commercial truck tire inventory. And partly the result of timing of how we recognize manufacturing costs, either lag through inventory or taken in the period as required under U.S. GAAP. Remember this year we had unabsorbed overhead carried over from Q2 that we didn’t have in 2008. As we look forward in Q4 we expect unabsorbed overhead to again be worse than a year ago before restructuring savings, despite higher production levels. Again this reflects a mix between commercial and consumer tires and the impact of third quarter production cuts lagged for inventory. As we move into 2010, we expect reductions in unabsorbed overhead compared with 2009 as volumes increase. We see an average benefit of about $15 per unit as a good assumption for calculating the impact of increased production for full year 2010. The final point on segment operating income, third quarter results reflect added costs for incentive compensation compared with last year’s third quarter, which reflected a reversal of accruals given the economic downturn and a decline in the stock price. As we look at specific drivers of cost savings in the quarter, we saw results in each of the categories of our four point plan, raising the year-to-date total to $540 million. We remain on track toward our year end goal. This will bring our total over the four years of the plan to $2.5 billion, consistent with the increased target we set at the beginning of the year. Looking at our balance sheet, you can see the benefit of positive cash flow during the quarter. Normally Q3 would be a period of cash usage, even in a stronger economic environment. So the fact that we generated cash in the quarter is a significant point. This is now two quarters in a row where we normally would have used cash but instead we generated significant cash, further improving our net debt position. Note the significant factor in this positive cash flow is lower inventory, which is down $366 million or 13% from the end of Q2 and down more than $1 billion from year end 2008. This is well above the target we set for full the full year. The reduction stems from improvements in our supply chain as well as lower raw material prices. The challenge going forward will be to hold on to our improvements as demand returns, but we expect most of the improvement that we see in Q3 will be held through year end. Our liquidity position at September 30 benefited from positive cash flow in the quarter, bringing our cash and liquidity to $4.6 billion. Our cash balance in Venezuela continued to increase in the quarter. Like other manufacturing companies in that country we’ve experienced delays in obtaining approval from the Central Bank to pay suppliers. This has resulted in a growing cash balance, about $350 million at the end of September. Although we have been able to obtain approvals to exchange some currency at the official exchange rate during the quarter, there continues to be risk related to our business there. Looking forward we believe its possible Venezuela can need to be accounted for as a highly inflationary country as early as year end, which may result in a significant one time charge and increased volatility in our Latin America results. Turning to the segment results, North America reported EBIT of $2 million in the quarter which compares to a loss of $19 million in the 2008 period. The 2009 result is based on revenue of $1.86 billion and volume of 17.1 million units representing year-over-year declines that are 15% and 5% respectively. Note that more than two-thirds of the revenue decline is explained by what we call other tire related businesses, which include retail, lower third party chemical sales, motorcycle tires, aviation tires and racing tires. These businesses also impacted earnings. Revenue per tire was flat with the prior year, partly driven by [audio impairment] mix of commercial truck tires versus consumer. Economic conditions and industry demand improved compared to the second quarter, with consumer miles driven improving as evidenced by increases in four of the last five months. September truck tonnage, the latest data available, increased 7.3% versus 2008. This was the best year-over-year performance since last November. It’s important to point out that the North American consumer tire industry demand was significantly impacted in the third quarter by two discrete events. First, in the consumer LE business, the U.S. government’s Cash for Clunkers stimulus program drove higher sales in July and August before the program ended on September 6, leading to increased auto production and a pull ahead of our OE sales. Second, in consumer replacement business, third quarter industry sell into dealers as reported was boosted by significant purchases of imported Chinese tires in advance of the White House’s imposition of tariffs on such products effective September 26, another pull ahead of demand. Including the benefit of the ITC ruling, the U.S. consumer replacement industry increased by two-and-a-half. This low end segment of the tire market affected by the ITC ruling is not one that Goodyear participates in, given the full profit potential, so our sales were largely [audio impairment] pull ahead of industry demand due to the anticipation of the tariffs. The fact that our North American replacement sales met year ago levels was not a reflection of industry demand as much as it was a reflection of strong market performance by the Goodyear brand and our new products. As we saw globally, the impact of raw material costs in North America were significantly favorable as well, while price mix was essentially flat. Flat price mix is driven by two primary factors. First, consumers have continued to favor mid tier tires, the segment where our new products are focused. And second, mix has been impacted by the fact that North American commercial truck tire industry is recovering slower than the consumer is. In North America we continue to experience unfavorable year-over-year conversion costs, driven by unabsorbed overhead costs of $40 million from lower production volume, and higher pension costs of $48 million due to the impact of the 2008 portfolio losses. These cost increases were offset partially by rationalization planned savings of $14 million including shift reductions at Union City and other actions taken earlier this year, and the savings from the [Viva] of about $23 million. As we discussed in our September 29 conference call, NAP and the USW recently ratified [audio impairment] year deal that’s expected to provide significant savings over the life of the agreement. During the third quarter we incurred charges of [audio impairment] related to implementation of the contract, primarily 401(k) contributions for past service for associates that will be part of the defined contribution plan rather than the traditional defined benefit pension. Selling and general expenses increased by $13 million in Q3, more than explained by higher incentive compensation expense. Europe, Middle East and Africa reported segment operating income of $106 million in the quarter which compares to $134 million in the 2008 period. The 2009 results reflect sales of about $1.6 billion and volume of 17.8 million units, representing year-over-year declines of 18% and 9% respectively. Industry volume continued to weaken but at a slower pace than Q2. The decline was primarily in summer tires as the winter tire market increased year-over-year, reflecting low dealer inventories after cold weather at the end of last year’s winter season. The consumer OE market was off despite continued stimulus efforts in Europe. The commercial truck markets decline is again significant but we’ve seen signs of stability as it seems to have bottomed out. This is illustrated by highway kilometers driven in Germany declining only 11% for Q3, following declines of 15% and 17% in the first and second quarters. EMEA sold 1.9 million fewer tires this quarter, reflecting the weaker industry conditions. Our brand continued to perform well in key segments, particularly in the ultra high performance summer segment and in the high performance winter tire segment, where as Bob mentioned our tires were clear winners in last year’s German auto industry magazine test and performed strongly again this year. In key Eastern European markets we continued to gain share, positioning our business for future return to growth in these markets. And we see improvements in the Middle East and Africa, where markets have been less affected by the economic downturn. Overall, Europe, Middle East and Africa sales declined $355 million, reflecting the lower unit sales as well as a weaker euro compared with a year ago. As in North America, Europe’s revenue also reflected weak commercial truck tire mix. As I mentioned earlier, revenue per tire decreased, reflecting the mix impact from commercial volumes. If viewed individually however, both consumer and commercial businesses saw increased revenue per tire. Raw materials for EMEA declined $53 million in the quarter. This favorable raw material impact though could not offset the negative impact of volume and related unabsorbed fixed costs. Excluding translation, [audio impairment] was [audio impairment] below the prior year, reflecting significant cost reduction activities. In Latin America we reported segment operating income of $99 million which is down slightly from the prior year result of $101 million. Favorable price mix and lower raw material costs were significant benefits in the quarter, nearly offsetting the effects of weak industry demand on sales and manufacturing costs, as well as unfavorable foreign currency translation. The economy in Latin America continues to show signs of recovery, with the most notable strength being in Brazil where job growth, stimulus efforts and record low borrowing costs have helped drive domestic demand. With profits about equal the last year despite a 16% decline in sales, margins were strong in the quarter at 20%. While price mix was favorable in Latin America overall, revenue per tire declined slightly, again the result of less favorable mix of consumer versus commercial tires. Revenue per tire would have been positive if this mix effect were excluded. Political issues resulting in trade barriers and currency controls in countries like Venezuela, Argentina and Ecuador continue to be a challenge. These barriers not only create cash and balance sheet challenges but also hurt volumes and destruct our business. The team in Latin America is managing costs and working capital effectively, and will continue to manage these specific country issues as they arise. Our Asia Pacific business reported a second consecutive quarter of record segment operating income with $68 million reported in the quarter. The increase from last year reflects lower raw material costs and favorable price mix, and was achieved despite significant natural disasters in the region. While the volumes remained down slightly year-over-year, the results vary significantly across different countries. Both India and China are benefiting from high single digit GDP growth and are seeing stronger recovery in auto sales and infrastructure spending. While the Australian market has shown limited improvement, the management team is making good progress driving performance there. Improvements include the successful plant closing, new product initiatives and significant steps to improve cost structure throughout the organization. Price mix net of raw materials in Asia Pacific was a benefit of $22 million compared to last year’s quarter. Revenue per tire increased about 2% despite weakness in geographic mix, with lower mix than the predominantly high value added markets in Australia and New Zealand, and strength in emerging markets. And as Bob mentioned the team successfully closed the aging factory in the Philippines at the end of September. This is another step in improving our manufacturing footprint in Asia. So heading into the fourth quarter we see positives in the market and in our business groups, with volumes recovering, strong market share performance and continued success in driving cost savings, allowing us to take advantage of the market recovery. Turning to the outlook, I want to provide a couple of comments on the fourth quarter. Similar to the third quarter, in Q4 we expect to continue to see results in line with our plan and significantly improved from the prior year. The impact of raw materials will again be favorable in Q4. In fact we expect raw material costs to decline 20% to 25% compared to last year. Similar to the third quarter we will continue to cut production where we see market weakness as we focus on aggressively managing inventory. As a result, production is expected to increase only moderately from Q3 to Q4. We also expect to again see increased accruals for incentive compensation compared to the reversals a year ago. Compared with Q3 however we expect segment operating income to decline as has historically been the case. In North America we expect Q4 segment operating income to be down approximately $75 to $125 million compared with Q3 reflecting first the impact of seasonal trends on unit sales and reduced activity from our other tire related businesses; second sequentially higher raw material costs compared to Q3; and third, timing of recognition of unabsorbed fixed costs related to production cuts, which is an adverse impact compared with Q3. Again Quarter 4 is essentially in line with our plan for 2009. We expect international segment operating income in Q4 will be similar to Q3 as a result of market recovery in Asia and Latin America and the favorable currency. So our expectations for fourth quarter performance reflect continued recovery in the markets and success of our strategies but also reflects seasonally lower volumes, the recent upward trend in raw materials and some accounting timing for manufacturing costs. So nothing unexpected from our perspective. We continue to expect our full year CapEx to fall within our range of $700 to $800 million, reflecting an uptick in Q4. We expect this higher quarterly rate to carry over into 2010 given the market recovery and a ramp up of construction of our plant in China. For modeling purposes we expect interest expense in the range of $310 to $325 million for the year. Note this is down from $330 to $350 million that we mentioned in the Q2 call. We continue our tax expense guidance of about 25% of our international segment operating income. And I would also note that we’ve updated our estimated contribution to pension plans based on updated actuarial studies and some funding relief for plans outside the U.S. Revised estimates are shown in the appendix to today’s presentation. We’ve reduced the expected contributions for 2009 to $300 to $325 million and more importantly we now expect 2010 will be up by only $50 to $75 million compared to 2009, delaying the expected ramp up in contributions until 2011. We’ve also seen significant return on our pension portfolio this year, up 21% through September. This strong performance, if it continues through year end, could significantly improve our pension position going into next year. Bob?
Robert J. Keegan: Well thank you Darren. Given our improving results and the state of our markets, here’s our perspective on 2010 and beyond. We have a high degree of confidence in both the future of the tire industry and our ability to be advantaged as we capitalize on the industry’s available and attractive market opportunities. Why? We are participating in an industry that will grow globally. More people will most certainly be driving more automobiles in the future. And while that growth might not be universally dramatic, segments within the industry will grow at significant rates and those segments define the targeted attractive market opportunities that we are most focused on. Think dramatic growth in large diameter rim sizes, high value added tires, and emerging markets and consumer demand for new tire technologies as car technology evolves. We expect year-over-year growth in 2010 in each of our key segments globally, with the consumer markets continuing to recover more quickly than the commercial markets. Goodyear’s strong market position and growing capabilities will enable us to fully capitalize on these opportunities. You might think of these capabilities the way we do within Goodyear, as the reasons will be a much stronger competitor in the future. And I’ll comment on each core capability. We have a management team that has been proven throughout the ups and downs of the business cycle and we continue to strengthen that team at every opportunity. It seems leadership has established Goodyear at the top of Fortune Magazine’s Most Admired List in the tire industry the last two years. We recognize that business is a team sport and we believe we have the industry leading management team. When you consider the power of a combination of an industry leading new product engine and the marketing tools that we wrap around it, the many product awards we are now capturing consistently and globally, and our unmatched speed to market capability, it is most certainly a winning combination for the future. It has already been a differentiator and we are continuing to get better. For example, this year we are migrating our new technology from our initial emphasis in premium products to the mid tier segment. And in doing so, we’re enlarging the addressable new product market for Goodyear. With regard to channel management our philosophy is simple and logical; we win with the winners. We align with the customers who are outstanding and we are then focused intensely on building their businesses, not simply on selling them tires. We’re focused on building their businesses. We have a strong portfolio of brands led by the Goodyear brand, with the leading market share here in North America. In 2009 Goodyear has continued to build its leadership position. These four capabilities are driving a value creating pricing strategy and an outstanding ability to enrich our mix and generate increased margins. Here you should think about mix as an aggregation of product mix, brand mix and customer mix; together, these are very powerful. With regard to our supply chain, I mentioned specific benefits earlier. Our supply chain is generating improved customer satisfaction and service levels with lower costs and the lower inventory investment you see in our year-to-date performance. Overall, our improving supply chain and manufacturing competencies, using lean processes, driving SKU reductions and simplification of work, are now collectively referred to in Goodyear as the Goodyear Operating System. The addition of Jack Fish with his 25 years of experience from GE as our Senior Vice President of Global Operations will allow us to take some very good work that we’ve already accomplished well into the next area of improvement. Our focus on cost structure improvement continues. You’ve seen our progress here in the form of our four point cost savings plan. While we are now on the cusp of achieving our upwardly revised goals under that plan over four years, be assured that our focus on creating a more competitive cost structure will continue well beyond our original plan horizon. This includes our plans to eliminate an additional 15 million to 25 million units of high cost capacity on top of the approximately 30 million units we have eliminated since 2003. Our current strength in high growth markets of the world in Asia, particularly China, Latin America and Eastern Europe, positions our teams to leverage many of the capabilities I’ve already mentioned into market actions aimed at capturing a significant percentage of that growth potential. In the commercial truck market, we are prepared for the inevitable market rebound. And it’s critical here I think to recognize how far the truck replacement and OE markets have fallen over this past two years. Why? Because the operating leverage that we’ll have as the consumer markets rebound will be significant. In commercial truck, with the plans that we are implementing with our industry leading product portfolio and innovative service capabilities through our fleet [HQ] program, the percentage rebound will be even greater. And so will our resulting operating leverage. Our solid position in the off-the-road markets, primarily mining and construction applications, where we have made a strategic decision to manufacture and market 63” tires, reflects our commitment to deliver products that meet our customers changing expectations. As you’ve seen in a separate news release this morning we just announced that decision on 63” tires. Capturing the full benefit of these opportunities will obviously require investment in R&D, marketing and CapEx. And you can be assured that these high return investments will be accomplished with the same intelligent balance sheet management that our team has demonstrated over the past several years. So regardless of the speed of the economic recovery, we will continue to aggressively pursue the available market opportunities and they are significant, and the expected market trends play directly to our strengths. So we are solidly positioned to continue to win in the marketplace. Thank you very much and we’ll now open the call to your questions.
Operator: (Operator Instructions) Your first question comes from Patrick Archambault - Goldman Sachs.
Patrick Archambault - Goldman Sachs: In terms of you know the overall volume, you know I think you gave it for North America and international but together on a consolidated basis sequentially what are we thinking about in terms of volume going from Q3 to Q4? And I do apologize if you guys said it and I missed it.
Darren R. Wells: Yes, Pat, this is Darren. We haven’t given specific numbers on growth from Q3 to Q4 in terms of industry volume or absolute volume. What we said is that we see recovery continuing in all of our markets. But I think we’re looking at this as being something that will see growth compared to a year ago. You know we’re confident in that but volumes generally are down in the fourth quarter from Q3. You know it’s a seasonal effect. That’s the easiest way to think about it. But we didn’t give specific numbers on it.
Patrick Archambault - Goldman Sachs: I mean I guess just to probe a little bit more on that though, I guess I mean I might have thought that just given the very weak nature of the demand, you know the end market demand in both replacement and OE and you know some of the signs that you guys mentioned you know of a decent recovery as we move forward, not only in terms of OE production but in terms of miles driven, you know all that stuff you guys cited, you know wouldn’t that have an effect of maybe trumping some of the seasonal impact? You know just given the significant dislocation of demand that you’ve seen over the last couple of quarters.
Robert J. Keegan: Pat our assessment is that that would not trump it. And remember that some of the strength that we’ve seen over the last few quarters as well is a reversal of an inventory effect. So you’ve got to factor that into this equation as well. But you know everybody ran inventories up because demand was up, and then they ran inventories down for several months. And so we factor that into this equation and you could argue we may be conservative on Q4. I don’t think we are. I think we’re accurate there. And then come 2010 we’ll start to see as I mentioned growth in all of our key market segments.
Patrick Archambault - Goldman Sachs: So in other words it does sound like you are expecting maybe some kind of a sequential down tick in volumes as you would normally get. It may not be as pronounced as in the past but it’ll still be there.
Robert J. Keegan: Yes. As Darren said I think that’s an accurate assessment.
Patrick Archambault - Goldman Sachs: And then can you give us a sense, I mean it sounded like you had unabsorbed overhead costs of I think it was $107 million year-on-year. What sort of order magnitude are we talking about for the fourth quarter and sort of what you know production cuts you know would you sort of attach to those versus what you cut in the third?
Darren R. Wells: Yes, so Pat what we’re looking at for production in the fourth quarter is you know production that will be up, call it up moderately from the third quarter’s levels. And in the third quarter if you take what we cut a year ago and the additional 4 million units that we cut this year, you would say that we cut a total out of our capacity or what we would have seen 2 years ago by about 12 million. Last year’s fourth quarter we cut 17 million. This year we expect in the fourth quarter to cut less than the 12 that we cut in the third. We haven’t given specifics there but I think you can think of it as up modestly from Q3. When we think about the unabsorbed overhead and this is a tougher factor to evaluate, because when we look at one quarter for unabsorbed overhead, there are a lot of timing factors in the accounting that come into play. So we’ll look at the fourth quarter and we would say we’re going to produce more tires than we did a year ago but we still expect unabsorbed overhead before our restructuring actions to be a negative not a positive versus a year ago in Q4. And partly that’s timing of recognition. And partly it’s the fact that a lot of production cuts this year are in the commercial truck tire business. And that carries with it a lot higher level of unabsorbed overhead per unit. So we look forward to 2010. We absolutely see the unabsorbed overhead becoming a positive year-over-year. But in the fourth quarter we’ve got a combination here of timing and product mix that’s going to make unabsorbed overhead still a negative. We’re offsetting part of that with restructuring actions as we’ve cut people out of factories. But I think that’s the situation we’ve got for Q4.
Robert J. Keegan: And that’s why we emphasize in the commercial truck business, when that business rebounds, which it will, the operating leverage that we’ll have that other people in the industry will have, is going to be significant.
Patrick Archambault - Goldman Sachs: To understand correctly just your raw materials guidance, I think you guys said down 20% which would probably put it in the sort of $300 million range you know year-on-year in terms of the decline. But that still represents a little bit of an uptick sequentially. Is that correct?
Darren R. Wells: Yes. I think you’re right to think of it you know raw materials still being a little bit of an uptick sequentially. I think particularly if you look at North America it can differ a little bit by region. But clearly as we look at fourth quarter year-over-year we see raw materials down from a year ago you know 20% to 25%. I think your number is certainly within the range we’d be looking at.
Patrick Archambault - Goldman Sachs: Can you help us understand the difference between you know the mix impact? It looks like mix pricing was down about $14 million I think, if you strip it out of the raw material stuff. Can you give us a sense of what part of that was mix and what part of that was pricing? And you know maybe just how overall pricing has held up, that’d be pretty helpful.
Darren R. Wells: Well you know I think Pat the comments that I made regarding mix are something that you know were clearly a factor for us in the quarter. So we had some adverse mix in terms of weaker commercial markets versus consumer. We saw some adverse mix from some of our higher margin geographies being weaker than some of our lower margin geographies. We see some weaker mix in places where we had government stimulated OE demand picking up and OE becoming a bigger part of the total versus replacement. So we had a few things going on that were adverse mix items for us. Clearly that played a role in the price mix performance in the quarter. You know from a market perspective we continue to drive our value proposition. Our products and particularly our new technology products continue to generate high demand and you know we’re able to get good value for those products because of the technology they contain. So I think from that perspective we continued to do what we’ve been doing.
Robert J. Keegan: And I think in an environment where raw material costs and prices are coming down, in fact maybe even dropping significantly over this timeframe, I’d say we’ve seen very strong price mix performance if you eliminate some of those business mix aspects that Darren’s talking about.
Patrick Archambault - Goldman Sachs: And any chance you can just isolate just the price piece for us?
Robert J. Keegan: No, Pat, we haven’t traditionally done that. We’re not in a position to start doing that now.
Operator: Your next question comes from Rod Lache - Deutsche Bank Securities.
Rod Lache - Deutsche Bank Securities: I’m still trying to get my arms around the drag from this unabsorbed overhead. Can you just maybe help us identify the impact from bringing inventory down as opposed to kind of matching the decline in demand? You know as you look out to Q4, what’s the impact would you surmise comes from the inventory correction? And if you can also just give us some color on the extent to which you think that affected you for the full year, just given the magnitude of your inventory correction.
Darren R. Wells: Rod, I think that’s a good question. You know we’re at a point now where through nine months we’ve cut something like a little over 25 million units out of our production. So we’ve taken significant production cuts, a fairly high mix of those being in the commercial business which has a real high per unit unabsorbed overhead cost. So that’s clearly a factor to think about. It’s something that we’re seeing clearly. Part of the cost of bringing down our inventories by $1 billion year-to-date has been you know cutting production to get those inventories in line. We’ve been able to do it to reflect volume, but beyond that we’ve been able to do it because we’re able to service our customers at lower levels now. And that allows us to drive down inventory and deliver permanent cash savings for us on the balance sheet. You know and clearly we’ve made those trade offs. We’ve said we’re going to run the plants less and we’re going to drive down inventory further and generate cash. You know and that’s the right trade off for us. You know and so clearly there’ve been effect there of driving down inventories beyond sales, but there’s also been that mix impact between commercial and consumer. The third impact, which is even more difficult and one of the reasons we’ve given some specifics around the fourth quarter expectation, you know is this timing question where I think you remember in prior calls we’ve talked about [Bagilin] 51 which is the standard that determines whether or not we have unabsorbed fixed costs that lag through inventory as we would normally account for them or if they’re written off in period. And with the kind of volatility in our production schedule, it’s hard to give you rules of thumb on how that works. So what we’ve done is just given an indication of what we’re expecting for Q4. But I would say a big part of our expectation for Q4 has to do with unabsorbed overhead carrying over from Q3. Just as in Q3 a big part of it was an increase in the carryover from Q2 that we didn’t have a year ago. So there is an element of timing here. There’s an element of mix and there is some element here of reducing inventory which drives production down further than sales would normally drive it down. I think the good news is next year, I mean our inventory reductions have been significant this year, so as we see sales recovered next year you know we should see production more or less follow the sales pattern.
Rod Lache - Deutsche Bank Securities: I understand directionally what you’re saying but you know the 25 million unit reduction that you’re talking about for production this year, that compares against, I mean that’s not in excess of sales because you’re going to have like a 22, 23 million unit decline in units sold. Isn’t that right?
Darren R. Wells: Yes. No, I think you’re right. I mean we’ve taken a few million more units out of production than we have out of sales. But you know you’re dimensioning it the right way.
Rod Lache - Deutsche Bank Securities: And you said $15 a tire of overhead absorption more or less.
Darren R. Wells: That’s for next year, Rod. And I can tell you that’s the other thing that’s difficult about this is we’ve come up with a rule of thumb to help you think about 2010. That rule of thumb does not apply this year. You know with the timing that we’ve had and the mix of products we’ve had, it won’t work exactly the same way and I think that’s why we’ve been specific and said hey if you want to think about 2010, use $15 a tire. If you want to think about what’s going on in 2009, there are a number of other factors that we’ve gone through.
Rod Lache - Deutsche Bank Securities: But there’s no way to really quantify the year-over-year improvement that would be associated with keeping inventory kind of flat versus bringing inventory down this year?
Darren R. Wells: You know Rod there’s not a simple answer to the question. You know you’ve seen what level of unabsorbed overhead per unit we’ve had in the three quarters we’ve reported this year. It’s been highly volatile because it isn’t just a per unit calculation. There’s the timing difference between what you recorded in period when production is cut severely versus what goes into inventory. Very hard to track through there without a lot more detail than we’re going to be able to go through on the call.
Rod Lache - Deutsche Bank Securities: Are you expecting a minimal impact then as you get into the first half of next year from inventory reduction? Or from overhead absorption?
Darren R. Wells: [Inaudible] for next year Rod would be that sales and production are going to track pretty closely.
Rod Lache - Deutsche Bank Securities: And then just an overall comment on North America which has been weak for a long time now and can you just take us a step back and just give us some thoughts on what you think normalized North American margins could be and what timeframe. And then lastly this is a Venezuela comment, what are the implications of that to your business?
Robert J. Keegan: Okay, Rod, we’ll start with North America.
Richard J. Kramer: Hey Rod, it’s Rich Kramer. You know Rod I think the question of what’s normalized is a difficult one to answer given the volatilities that we’ve seen. I mean you know Darren’s referred to mix a number of times here in terms of commercial truck versus passenger, looking at our production schedules, getting our supply chain in line, which in effect is trying to keep our fill rates up and operate on a much lower inventory level which means weighting toward making the right tires not just making tires. And how we work through our factories with that and then consequently how we take the output up and the excess cost out, which has been part of our union contract. It’s really in line with those theories. So to take a step back and say what’s normalized in the volatile economy that we’re going through right now is a very difficult thing to do. I would tell you as I look out at ‘010 and beyond I think clearly there is an upside and significant upside as we look at the business. When we look at what’s dragging us right now, it’s not our consumer replacement by and large. Actually we’re very, very pleased with what’s happened there, gaining share with a particular brand, doing it with better inventory points. It’s really the commercial business and the OE business and some of the ultra high [window] side of things. And that’s what’s dragging us down. And I think about those as cyclical. Those are going to come back at some point in time. We have leverage that we can get out of those. So I think when we go back to the metrics that we’ve talked about and the 5% EBIT level and what have you, I would say we’re still positioned to achieve that. And your next question’s going to be you know at what point in time. And again at the risk of being a little bit evasive, if that’s the right term, we haven’t put a timeframe out to that. It’s been dependent on what happens in the economy. So I don’t have a particular time for you but clearly I think it’s still very achievable. In fact I think we’re in better shape to do it now than we have been in a while.
Robert J. Keegan: Okay, then maybe Darren you can comment on Venezuela.
Darren R. Wells: Yes, Venezuela you know and Rod your specific question on Venezuela is the comment on the business or the comment on the balance sheet?
Rod Lache - Deutsche Bank Securities: Well you’re taking a charge, you said it could be characterized as hyper inflationary. I mean do you see just based on what is happening in Venezuela, is there kind of an elevated risk to your franchise there? How should we interpret your comments about you know the charge that you’re taking and?
Darren R. Wells: It’s a good question, Rod, and I think the comment’s meant to say that you know we may be in a position where we would need to change our accounting to hyper inflationary accounting. And there are a couple of different impacts there but overall I would say our business there remains strong. It’s a good business. You know we have a good business model there, you know a strong local producer, we’ve got a good team there. So it isn’t a comment about the health of the business or our focus there. It’s a good business. But it is a comment about how we might account for currency translation related to Venezuela. And there are you know if we go to hyper inflationary accounting, any mark-to-market of currency would go through the income statement where you know that wouldn’t have been the case in the past. Now Venezuela’s got, and this is something that’s going to affect all companies not just Goodyear. I mean this is something where you know the FEC will openly come out and give an indication if they believe companies should be using hyper inflationary accounting and then we’ll see everyone go that direction. So nothing unique to Goodyear in that respect, but there is a controlled currency there, the Bolivar fuerte is you know set at 2 to the $1, or essentially 2 to the $1. There are offshore markets that trade at different exchange rates and decisions are also going to be there in terms of which exchange rate you use if there’s a higher inflationary accounting. So I think we’re wanting to highlight it. It’s not something that you know there’s no definitive expectation here at this point, but we just look at it and say it could create some volatility for us in our reported Latin America results going forward.
Operator: Your next question comes from Saul Ludwig - Keybanc Capital Markets.
Saul Ludwig - Keybanc Capital Markets: Just to clarify on Rod’s question, right now you are translating your Venezuelan Bolivar earnings at 2 to 1. Is that correct? The way you report your earnings today.
Darren R. Wells: Yes. At the official exchange rate.
Saul Ludwig - Keybanc Capital Markets: Have you been able to bring cash out and do you have to change it at different black market rates? And actually bring cash out?
Darren R. Wells: Saul, we’ve been able to get a exchange approved at the official rates. Not as much as we would like to and we continue to work with officials there, but even in the last couple of weeks we’ve been able to exchange money at the official rates.
Saul Ludwig - Keybanc Capital Markets: Do you think if we went to hyper inflation it could be you know like your earnings would go in half in Venezuela so to speak?
Darren R. Wells: Well Saul it ultimately comes down to what exchange rate we use. So if the official exchange rate you know continues to hold and we continue to be able to exchange currency at that rate, you know there’s no change in the exchange rate than the hyper inflationary accounting doesn’t have as much of an impact. Once you move to hyper inflationary accounting if there is a change in the exchange rate then it hits the income statement directly.
Saul Ludwig - Keybanc Capital Markets: Darren, did you say that looking at fourth quarter North America versus third quarter your earnings would be down $75 to $125 million?
Darren R. Wells: Yes. That’s the expectation that we indicated, Saul.
Saul Ludwig - Keybanc Capital Markets: That’s enormous and so that probably explains why the stock is getting mangled. You know we’ve heard over the years so many good things about North America, new products, more efficiency, union contracts, and now we hear $100 million loss in the fourth quarter. What is it going to take do you think before some or all of these good things are going to start to show up in the bottom line?
Robert J. Keegan: Saul, this is Bob. We’ve explained why this move from third to fourth quarter. A fair amount of that move is not due to fundamentals in the current business. Right? To be frank. So in 2010 we expect improving earnings, going along with all those core competencies in North America.
Saul Ludwig - Keybanc Capital Markets: Would we have to wait until say the second half of the year if we’re going to look for some challenge in the first half? And then maybe come home big time in the second half?
Robert J. Keegan: I’ll just say overall my comments, Saul, are meant to apply to throughout 2010. And of course this is all volume related. And when the consumer market shows signs of recovery, which is showing that’s a very positive thing as Rich indicated, the commercial truck business when that comes back we’ve said there’s significant operating leverage on the upside. By the way there’s been significant operating leverage if you want to interpret it that way on the downside this year and the second half of last year as well as those volumes have declined. That’s kind of how we’re looking at it. And we continue to do the good things that we’re doing in terms of good pricing strategy, great new products, holding onto share, good channel management that you’re well aware of.
Saul Ludwig - Keybanc Capital Markets: With the raw material costs having surged be it [butadiene] hitting new highs, natural rubber hitting new highs, are we going to have to see a little you know some price movement in 2010? Or if not would you then start to get squeezed on your margins because of the high raw material costs?
Robert J. Keegan: We won’t make a comment on speculating on what will happen from a pricing standpoint, Saul. You’ve got to think about this in terms of you know we’ll continue to try to do things that are value creating in our whole marketing mix and that includes price.
Saul Ludwig - Keybanc Capital Markets: You mentioned that you thought your international results in your fourth quarter would be somewhat similar I guess and segment operating income was $273 million, similar in the fourth quarter. Yet in the fourth quarter we’re going to have sharply higher currencies in Europe and all Latin America countries, these currencies have soared, whereas you had FX pressure in the third quarter. So if your earnings in dollars are the same in the fourth quarter internationally as the third quarter, wouldn’t that signify some underlying weakness because of the currency strength that you all have?
Darren R. Wells: Yes, Saul, you know there’s two things. There’s no question that as we look at year-over-year currency for us in the third quarter was you know was a little bit adverse. And the dollar weakens as we look at year-over-year result that position’s going to change. But you know if we look at currency now, just Q4 versus Q3, not that big of a movement in currency and there’s some movement in currency. So you could see a little bit of benefit from currency. You see some seasonal you know normal seasonal weaker volumes in some of our international businesses as well. So you’ve got a couple of things that are moving different directions there. But overall we see our international earnings at about third quarter levels.
Operator: Your next question comes from Himanshu Patel - J.P. Morgan.
Himanshu Patel - J.P. Morgan: First one, Sumitomo had announced a price increase. Were you guys involved in that decision given it’s your JV partner? Or was that done independently?
Robert J. Keegan: Himanshu, maybe just to address that, the last thing we’d ever talk to them about would be pricing. Ever.
Himanshu Patel - J.P. Morgan: I just wanted to go back on the North American arithmetic, your guidance you know basically taking your profits in Q4 back to Q2 levels, roughly $100 million negative, and you know when you look at that volumes in the second quarter were 13% below Q3 levels, but when I go back and look sequentially what happens to volumes third to the fourth quarter in ’08 they were only down 7% and that was arguably the beginnings of a deep recession post-Lehman Brothers, ’07 they were down 1%, ’06 they were down 1%. So I’m not exactly sure why volumes A, should be down that much; two, versus the second quarter raw materials cost should be sequentially lower, unabsorbed overhead costs I would think should be lower as well, and as Saul mentioned FX should be sequentially better. So why would your profits in the fourth quarter be the same as Q2 levels?
Robert J. Keegan: You’re talking about for the international businesses?
Himanshu Patel - J.P. Morgan: No. Just for North America.
Richard J. Kramer: For North America we look at it and say we have the earnings in Q3, we see volumes going back down which we view as seasonal in nature. Now you could say, part of it could be pull ahead from the Cash for Clunkers. We had some things that might have influenced third quarter upward that we don’t expect to recur in the fourth quarter. So we do see seasonal volume trends. And whether that’s in particular segments of the market or overall, we think that’s a real effect for us as we look at Q4 versus Q3. And again volume will be what it’s going to be. There could be some difference of opinion on that but that’s what we see. You know second we do see higher sequential raw materials, Q4 versus Q3, where in Q3 we wouldn’t have seen that versus Q2. So raw materials up. The other thing and I think I gave the long winded answer to Rod Lache which is on the unabsorbed overhead, but we actually expect unabsorbed overhead despite the fact that production will be up a bit, it’s going to be adverse as we look Q4 versus Q3. So we’re going to see more unabsorbed overhead sequentially in Q4 than in Q3 in North America. And that’s in effect for us as well. We also have some elements of the other tire related businesses, including the chemical business that are going to put some downward pressure on Q4 versus Q3. So there’s a number of factors there, none of which speak to the long term health of that business, but all of which are relatively complicated and so what we’ve done is to provide some increased clarity we’ve given you the expectation rather than trying to put all the pieces together. Because it is admittedly something that takes a little bit of time to work through.
Himanshu Patel - J.P. Morgan: I appreciate the sequential commentary from third to the fourth quarter but I guess my reference point is Q2. You’re basically guiding to second quarter North American operating profits. And second to the fourth quarter I can’t imagine raw materials are sequentially worse, unabsorbed overhead cost is essentially worse, so what is it? Is it something on pricing? Is there something on incentive accruals or compensation that is changing versus the second quarter? But unless volumes are down you know 13% from the third quarter levels, there’s something else on the P&L that would take your operating income in Q4 back to Q2 levels.
Darren R. Wells: I think we’ve gone through the pieces, Himanshu. There could be some differences in the other tire related businesses. There could be some differences in raw materials. There could be some differences in unabsorbed overhead as we see some of the biggest cuts in our commercial truck tire production as they lag through inventory, coming out in Q3 and Q4. So that’s something. That’s an effect that’s been building up for us. So those are the pieces there. I mean the volumes will come out as the volumes come out. But I think what we see is seasonally down volumes Q3 to Q4. Understand that Q3 was an uptick from Q2 so you’ve got volumes going up and then back down again. You know sequentially higher raw materials have been trending upwards so there’s an effect there. I can’t speak directly to calculations Q2 versus Q4, but I think that the upward trend is there. And the unabsorbed fixed costs given the mix of products and given the differences in timing is you know pretty complex to work our way through. But the fourth quarter is getting full impact of carryover from Q3 as well as the fourth quarter of production cuts. And with the increased cuts in the commercial truck tire business, that’s an effect that’s gotten worse and worse for us.
Himanshu Patel - J.P. Morgan: Darren, are the depths of the commercial vehicle production cuts, it sounds like you’re taking a lot of that in the back half of the year. Could that explain the difference in sort of unabsorbed overhead costs?
Darren R. Wells: Yes, I think it does. I mean we’ve been operating commercial truck plants at something like 40% of capacity. So it is a really, really severe cut. And we are taking a lot of the impact of that in the second half here.
Himanshu Patel - J.P. Morgan: Maybe for Bob, at what stage would you guys feel that the commercial truck inventory levels are healthy? You know by year end would you guys say production and sales on commercial vehicle tires can start matching each other?
Robert J. Keegan: Well I might just start with Rich making comments for North America.
Richard J. Kramer: Himanshu from a truck perspective you know from our North American inventory perspective, we’re the lion’s share of the inventory reduction this year Darren referred to. And I would tell you particularly in truck, we’re operating now at levels that are really even below where we were during the strike. So as we think about any kind of rebound or even going into next year where we don’t see rebound in trucks, I think you’re going to see production and sales coming back into line. And of course our goal is to manage the increased demand that we’re going to see next year at the same inventory levels that we have now and not raising those things. So I think you’re going to see that next year and to just reiterate Darren’s point, I think you know Darren’s made the comment about the complexity of what’s happening between Q3 and Q4, Himanshu, notwithstanding the Q2 comment, but I can tell you that’s the explanation that we’re looking at as we see what’s happening to the business. Fundamentally when we look at how we’re positioned in truck, how we’re positioned in passenger, how we’re positioned with our customers, the progress that we’re making in the plants on a real time basis, I mean what’s actually happening in the fourth quarter versus what’s going through the books and in there from an accounting perspective, I can tell you I’m very positive on where we’re at. Darren made the point that we’re on plan and in certain areas we’re ahead of plan on some of the nuts and bolts of what we’re doing. So there are a lot of complexities. I know you guys are going to try and understand that more post call and I know the team is ready to do that. But fundamentally as business I think I’d echo several of the points that Bob made as we look ahead we still feel very positive on where we’re going.
Himanshu Patel - J.P. Morgan: Darren, the pension year-to-date 22%, if that was to hold does your pension expense go down on the P&L in ‘010 versus ’09?
Darren R. Wells: Yes. It does. The P&L impact would come in 2010. The benefit on cash would probably be more you know in effect on the 2011 contributions. But the 2010 P&L would benefit from the higher return.
Operator: Your next question comes from John Murphy - BofA Merrill Lynch.
John Murphy - BofA Merrill Lynch: If we think about what happened with the import or the dumping of tires from China in the North American market prior to the tariff, did this have any impact on what you’re seeing in the inventory channels in any part of your business? It might help explain the real restraint on volumes that you’re seeing in the fourth quarter.
Richard J. Kramer: I would tell you that you know what we saw are a lot of people doing a lot of big buys ahead in the third quarter ahead of the tariffs, and you’re seeing a lot of inventory out there. I think Darren mentioned in an earlier part of the call it’s not a big part of the market where we play. And when we look at our volumes I think we’d say if we take the [ICC] out we’d see the industry go down rather than go up. In that environment I will tell you we can outperform from a Goodyear perspective we can gain share again in the third quarter. So as you think about what’s happening in the fourth quarter I would tell you it really wouldn’t impact us on a sequential basis because it’s not where we play. And in addition to that, the thing to remember while the channel took a lot of inventory in in the third quarter breaking a trend where the replacement market has been trending for quite some time, directionally changing the trend, there was really no change in end consumer demand of tires. In other words, the dealers were buying a lot of tires in but consumers weren’t buying any more tires out and that trend won’t change for the full year where what our outlook’s been from the beginning of the year. So you know it could have an impact, Q3 to Q4, yes it may but I wouldn’t tell you that’s part of the primary part of the [inaudible].
Robert J. Keegan: Yes I would just say it’ll be more on the overall markets some other companies, but for us it’ll have a nominal effect.
John Murphy - BofA Merrill Lynch: And then when we look at this weakness in the fourth quarter in North America, would this expedite any action you might take at Union City? And when we look at Union City relative to Tyler, it seems like the savings from Union City could be $50 to $100 million annually. Does that seem right and would you expedite Union City’s closure?
Richard J. Kramer: We’re intending to run the factories the same way that we talked the last time that we got together on the union contracts. There’s no change in direction for Union City at this point.
Robert J. Keegan: Because remember for us relative to our plan, you know we’re essentially in line with that plan. So any comments we’ve made you know a quarter ago, two quarters ago, John, we’re still on that plan and that includes any anticipated capacity changes that we’d make in the future.
John Murphy - BofA Merrill Lynch: And then on raw materials, when we think about this it sounds like the increases that are being booked in the spot market are coming through the P&L faster than the declines that were in the spot market are coming through. And it just seems like you’re not getting the benefit from these raw material declines that should be coming in in the fourth quarter. Is there something going on there in different regions or in the channel or how you’re booking these raw material costs that’s making that timing difference seem a little bit odd?
Darren R. Wells: You know I think John one factor here is that the lower inventories will help us churn through it quicker, to the fact that we’ve driven down inventories we have faster inventory turns, means that the changes in raw materials will get reflected quicker. So you know there is one element there, different by region. We’ve got some regions like Asia is going to see the impact of natural rubber much more quickly because it spends less time on the boat, less time you know in inventory there. So there’s some differences by region but overall I think you will see some difference because of the lower inventories and the faster turns.
John Murphy - BofA Merrill Lynch: The cash in Venezuela was I think you were saying around $300 to $350 million?
Darren R. Wells: Yes. It was nearly $350 million.
John Murphy - BofA Merrill Lynch: And that’s obviously in U.S. terms at current exchange rates.
Darren R. Wells: That’s right. That’s at official exchange rates.
Operator: And we have reached our allotted time for questions. I will now turn the call over to Mr. Keegan.
Robert J. Keegan: Yes, I just wanted to come back. We know we’ve presented you with some complexity in Q3 and then our outlook for Q4. That’s why we made the comments about 2010 and beyond that we could try to put that in perspective. And I encourage you to have the kind of interaction that we should have between us to try to get that trade off if you will between the short term and the longer term correctly in your minds. We are on our plan. We are hitting on all cylinders and that’s true with top line and in costs and in cash, guys. I mean that’s how I’d like to conclude the call. And that’s our perspective on it. Thank you very much for your interest this morning.
Operator: And this concludes today’s Goodyear’s third quarter 2009 financial results conference call. You may now disconnect.